Operator: Good afternoon, and welcome to the Cyclacel Pharmaceuticals First Quarter 2019 Results Conference Call and Webcast. At this time, all participants are in a listen-only mode. After today’s call, members of financial community will have an opportunity to ask questions. [Operator Instructions]. The company will also be accepting a limited number of questions submitted via e-mail to the address, ir@cyclacel.com. [Operator Instructions]. Please note today's call is being recorded. I would now like to turn the conference call over to the company.
Alexander Fudukidis: Good afternoon everyone and thank you for joining today's conference call to discuss Cyclacel's financial results and business highlights for the first quarter of 2019. Before turning the call over to management, I would like to remind everyone that during this conference call, forward-looking statements made by management are intended to fall within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and Section 21E of the Securities Exchange Act of 1934, as amended. As set forth in our press release, forward-looking statements involve risks and uncertainties that may affect the company's business and prospects, including those discussed in our filings with the SEC, which include among other things, our forms 10-Q and 10-K. These filings are available from the SEC or our Web site. All of our projections and other forward-looking statements represent our judgment as of today, and Cyclacel does not take any responsibility to update such information. With us today are Spiro Rombotis, President and Chief Executive Officer; Paul McBarron, Executive Vice President, Finance and Chief Operating Officer; and Dr. Judy Chiao, Vice President of Clinical Development and Regulatory Affairs. Spiro will begin with an overview of our business strategy and accomplishments on Cyclacel’s multiple clinical programs and Paul will provide financial highlights for the first quarter of 2019, which will be followed by a Q&A session. At this time, I would like to turn the call over to Spiro. Spiro?
Spiro Rombotis: Thank you, Alex, and thank you everyone for joining us today for our first quarter business update call. 2019 is an exciting year for the company as we’re evaluating our three clinical stage drugs led by CYC065, our CDK 2/9 inhibitor across a total of six clinical studies, four in patients with hematological malignancies and two in patients with solid tumors. These studies are designed to deliver on our core business strategy to overcome cancer resistance. We’re also pleased to have reported data presented at last month’s 2019 AACR Annual Meeting. Let us start by explaining our scientific and business strategy. Cancer resistance proteins are central to the ability of cancer cells to invade the treatment effect of anti-cancer drugs which eventually lose their effectiveness. They are often referred to as pro-survival proteins as they help cancer cells survive anti-cancer therapy and gain an advantage over normal cells. Suppressing pro-survival proteins is therefore a promising therapeutic strategy to address the growing problem of resistance. This is particularly true for recently approved targeted drugs as emergence of resistance is a major concern in new but expensive treatment plans for patients. As new drugs stop working against cancer after early effectiveness, risk of disease progression, relapse and death increase undermining society’s return on investments. Cyclacel’s strategy addressing this problem is to target proteins whose aberrant expression correlates with the resistance. Such proteins include members of the Bcl-2 protein family such as Bcl-2 itself and Mcl-1 and also MYC and cyclin E. Mcl-1 in particular is receiving wide attention in recent medical conferences. Multiple preclinical studies show that simultaneous suppression of Bcl-2 and Mcl-1 restores sensitivity of cancer cell to the drugs that target one of these proteins and have stopped working. Venetoclax, the first approved Bcl-2 inhibitor is indicated for first or second line chronic lymphocytic leukemia, or CLL, and first line acute myeloid leukemia, or AML, in combination with a hypomethylating agent or a nucleoside analogue. Venetoclax represents an important advance, however, patients eventually stop responding. These clinical findings have attracted a lot of attention in the scientific community and a competitive race has ensued to bring to market drugs that inhibit Mcl-1 function with the aim of using them in combination with venetoclax. Cyclacel is a leader in this race having demonstrated in patients that CYC065 durably suppresses Mcl-1 at tolerable doses and recently started treating patients in a combination study with venetoclax in patients with relapsed/refractory CLL and soon also in AML and MDS. An additional strategy is to enhance the efficacy of standard of care drugs by targeting inherited mutations in DNA damage pathways such as homologous recombination deficient cancers which include those with BRCA mutations. The modest duration of clinical benefit to PARP inhibitors, the standard of care approved for BRCA mutant gynecological cancers suggest the need for novel drugs used in combination to improve the disease control and extend survival. Sapacitabine works by an HR deficient relevant mechanism that is distinct from the mechanism of action of PARP inhibitors. Sapacitabine has demonstrated activity in BRCA-positive breast cancer with one patient still on drug after six years. Recent clinical data with sapacitabine reported at the 2019 AACR have provided the rationale for an ongoing combination study of orally dosed sapacitabine and olaparib, the leading PARP inhibitor approved for breast and ovarian cancer. Let us now turn to the execution of our strategy. We have recently open for enrollment and are treating patients in two out of our studies under our collaboration with the MD Anderson Cancer Center with the other two studies to open shortly. In CYC065-02, the Phase 1 combination study of CYC065 and venetoclax in relapsed/refractory CLL, two patients have been treated at MD Anderson without dose-limiting toxicity or DLT with the approved full dose of venetoclax and intravenously administered CYC065 at a dose of 64 mgs per meter squared. The first patient is continuing on cycle 4 and has experienced an improvement in platelet levels. The second patient is on cycle 1. We have recently submitted to the IRB a protocol amendment to broaden the eligibility criteria. In parallel with MD Anderson, we’re also recruiting additional sites to join our study. In CYC140-01, the first-in-human Phase 1 study of CYC140 our PLK1 inhibitor in advanced leukemia, the first two patients have been dosed, one at the starting dose of 16 milligrams per meter squared administered intravenously and the second at 32 mgs per meter squared. No dose-limiting toxicities have been observed thus far. CYC140 is a small molecule, selective, PLK1 inhibitor that has demonstrated potent and selective target inhibition and high activity in xenograft models of human cancers. Protocols for the other two Phase 1 studies in the MD Anderson alliance have been finalized and submitted to IRB. These are CYC065-03, a combination of CYC065 and venetoclax and CYC682-11, a combination of sapacitabine and venetoclax both in patients with relapsed/refractory AML or MDS. Both are expected to open shortly for enrollment. We continue to enroll patients in Part 2 of the CYC065-01 Phase 1 trial of 065 in patients with advanced solid tumors. Part 2 is evaluating the pharmacokinetic profile of a one hour infusion of CYC065 administered over two days per week for two weeks out of a three-week cycle. 10 patients have been enrolled thus far; three at 90 milligrams per meter squared, five at 120 milligrams per meter squared and two at 160 milligrams per meter squared, respectively. As a reminder, in Part 1, CYC065 was administered over a four-hour infusion once every three weeks. We made good progress with developing the order formulation of CYC065 and capsules for oral administration are now available for clinical trial. The CYC065-01 Part 3 protocol has been amended to evaluate dosing of oral CYC065 and its pharmacokinetics. The protocol amendment is under institutional review at the Dana-Farber Cancer Institute and is expected to open for accrual shortly. Let us now turn to the Phase 1b/2 investigator-sponsored trial or IST of the combination regimen of sapacitabine and the PARP inhibitor olaparib or AstraZeneca's LYNPARZA in PARP inhibitor naïve patients with BRCA-mutant breast cancer. Three patients have been dosed in this IST sponsored by the Department of Breast Cancer at Dana-Farber. According to the investigators, the first two patients treated with 150 milligrams of sapacitabine and the approved dose of olaparib achieved tumor shrinkage with no safety concerns. These patients are continuing treatment. A third patient has recently been treated. Cyclacel and AstraZeneca are supplying sapacitabine and olaparib, respectively. With capital on hand estimated until the end of 2020, we have the resources to take us through key clinical milestones in our ongoing clinical studies. In summary, as we continue to execute on our strategy and advance our clinical development plans, our key milestones include initiate CYC065 and venetoclax Phase 1 study in patients with relapsed/refractory AML or MDS. Initiate sapacitabine and venetoclax Phase 1 study in patients with relapsed/refractory AML or MDS; report initial data from the CYC065 and venetoclax Phase 1 study in leukemias; report initial data from the CYC140 Phase 1 first-in-human study; report initial data and bioavailability from the Phase 1 study of oral CYC065. Report updated CYC065 Phase 1 data in patients with advanced solid cancers; report data from the Phase 1b/2 IST of sapacitabine-olaparib combination in patients with BRCA mutant metastatic breast cancer when reported by the investigators; and determine regulatory pathway and submissibility of sapacitabine in elderly AML. I will now like to turn the call over to Paul to review our first quarter 2019 financials. Paul?
Paul McBarron: Thank you, Spiro. As outlined in today's press release for the quarter ended March 31, 2019, our cash and cash equivalents totaled 17.9 million compared to 17.4 million as of December 31, 2018. The increase of 0.4 million in the three months was primarily due to net proceeds from a Common Stock Sales Agreement with H.C. Wainwright of 4.1 million, offset by net cash used in operating activities of 3.7 million. Research and development expenses were 1 million for the three months ended March 31, 2019 compared to 0.8 million for the same period in 2018. General and administrative expenses were 1.2 million for the first quarter 2019 compared to 1.4 million for the same period in 2018. Other income, net for the three months ended March 31, 2019, was 0.1 million compared to 0.6 million for the same period of the previous year. The United Kingdom research and development tax credit was 0.3 million for the first quarter 2019 compared to 0.2 million for the same period in 2018. Net loss for the three months ended March 31, 2019 was 1.8 million compared to 1.3 million for the same period in 2018. With the projected cash-sparing benefits accruing from the MD Anderson alliance, the company believes that cash and marketable securities, which were approximately 17.9 million as of March 31, will be sufficient to finance operations through the end of 2020. Operator, we are now ready to take questions.
Operator: [Operator Instructions]. Your first question comes from the line of Wangzhi Li with Ladenburg.
Wangzhi Li: Hi. Thanks for taking my questions. Maybe two questions. First, I want to ask you about a timeline for initiate the CYC065 with venetoclax in AML and also sapacitabine with venetoclax in ML. So initial – previously [indiscernible] more late 2019 or early 2020 but also mentioned it’s clearly under IRB review, so maybe the timing is earlier, just want to clarify on that?
Spiro Rombotis: Wangzhi, thank you for your question. Judy will answer that.
Judy Chiao: CYC065 with venetoclax combination for AML – relapsed/refractory AML and MDS has passed the scientific review committee with MD Anderson and is currently awaiting IRB approval. So we expect IRB approval in general within four weeks. And the sapacitabine with venetoclax, this also awaiting for IRB approval similar to the four weeks timeline.
Spiro Rombotis: So we expect, Wangzhi, within the summer to enroll the first patient assuming IRB approval is forthcoming.
Wangzhi Li: So your first patient this summer, okay, great. And then also second question also to clarify. You mentioned amendment for the Part 3 of the CYC065 oral formulation monotherapy. Just want to – what exactly is amendment for because I saw that already in the plan. Maybe I missed it, but can you clarify on that?
Spiro Rombotis: Yes, I think this is just a nomenclature question, Wangzhi. You’re referring to Part 3 which is indeed the oral 065. We are amending the existing 065-01 protocol. Part 1 we reported, Part 2 is the additional schedule and then Part 3 is the oral. So it’s just a question of nomenclature.
Wangzhi Li: Yes, but you had an amendment for the protocol, right. What exactly you amended for the trial?
Judy Chiao: The amend was to add evaluation of oral capsules [indiscernible].
Wangzhi Li: So that’s not in the previous protocol, okay.
Spiro Rombotis: It is the same study, different drug form but same population of patients first-in-human for the oral dosing.
Wangzhi Li: Okay.
Spiro Rombotis: That’s why we have to amend.
Wangzhi Li: All right. Okay, got it. Thank you for answering my questions.
Spiro Rombotis: Thank you, Wangzhi.
Operator: [Operator Instructions]. There are no further questions at this time.
Spiro Rombotis: Thank you, operator, and thank you all for participating in Cyclacel’s first quarter 2019 earnings call and your ongoing support of our efforts to develop medicines to address cancer resistance and improve existing treatment options. We look forward to updating you on our progress and meeting some of you at upcoming conferences. Operator, at this time you may end the call.
Operator: Thank you. This does conclude today’s conference call. You may now disconnect.